Operator: Ladies and gentlemen, welcome to the SBM Offshore Third Quarter 2015 Trading Update Conference Call. For the first part of this call let me remind you that all participants will be in listen-only mode and afterwards there will be question-and-answer session. [Operator Instructions] I would now like to hand over to Bruno Chabas, CEO. Mr. Chabas, the floor is yours.
Bruno Chabas: Thank you, operator and good evening to all. And good evening from our newly open and southern headquarter office. Thank you for taking the time to join our third quarter 2015 trading update conference call. I am Bruno Chabas, CEO of SBM Offshore and I am joined today by our CFO, Peter van Rossum; our COO, Philippe Barril; and our CGCO, Erik Lagendijk. I would like to start by saying that I am honored to have been elected to serve an additional four year term on the company’s Management Board as Chief Executive Officer. We are well-positioned to create shareholder value and I look forward to the opportunity that the next four years would provide. From a macro perspective the third quarter have seen a further deterioration in our industry with continued project deferrals. We feel confident in SBM Offshore’s ability to further adapt and adjust to this ongoing downturn. On the company perspective I am happy to report that we have continued to execute to clients schedule on all of our project and our construction. Turritella recently left the quayside in Singapore and began its transit to the Gulf of Mexico. Cidade de Maricá is ongoing - undergoing topside pre-commissioning by the joint venture of Brasa yard outside of Rio de Janeiro and Cidade de Saquarema left the yard in China and arrived in Brazilian waters near the Brasa yard, where she will undergo integration of topside modules. In October, we are pleased to announce that FEED contract for three, large-scale turret mooring systems associated with the Browse FLNG Development in Australia. Final investment decision is expected in the second half of 2016. Following the positive news that SBM Offshore is back on Brazilian tender lease. We have been waiting for the tender documents for Libra and Sépia. As of today and in spite of repeated assurances that the relevant tender documents may be forthcoming, that company has yet to receive them from Petrobras. Once received, we will update the market accordingly. Let’s now turn to the numbers. Directional revenue for the quarter came in lower year-on-year at US$2.1 billion driven by a decrease in Turnkey activity primarily as a result of the successful delivery of Cidade de Ilhabela and N’Goma FPSO. The nearing completion of the remaining project under construction and like of order intake in 2015. The Lease and Operate revenue increased year-on-year as the new vessel brought on-stream more than offset Brazil industry. We expect increased cash flow from the segment as our new assets come on line in the first half of 2016. Directional Backlog as of September 30 totaled US$19.5 billion of which about US$600 million is expected to be executed in the fourth quarter. Year-to-date, the company added about US$245 million in order intake related to contract extensions, brownfield work and offshore installation contracts. This lower than normal order intake has caused the continued erosion of the Turnkey backlog, which is [Cidade de Paraty] of the delays we are seeing award and FEED activity across the industry. Proportional net debt stood at $3.1 billion at the end of the period with cash and cash equivalent balances of almost US$600 million and committed undrawn credit facilities of about $1.3 billion. During the period, we received payment of joint venture partners of the share of the Turritella project and forms on the partial drawdown on Cidade de Saquarema financing, which together loan loss to repay all amount outstanding under our revolving credit facility and bridge loans. We also revised down the road our year-end guidance of proportional net debts less than US$3.5 billion to about US$3.3 billion. Directional capital expenditures at the period stood at US$378 million, reflecting the advanced construction progress of the company’s main projects nearing completion late 2015, early 2016. Turning to revenue guidance, we are reiterating our revised 2015 reduction of revenue guidance of US$2.6 billion of which US$1.4 billion is expected in Turnkey segment and US$1.2 billion in the Lease and Operate segment. We continue to adapt our business in a way they are working through the challenging macro-environment. We believe our strong Lease and Operate cash flows which provides stability to our bottom line, but we must find way to operate profitability positively in the current environment given the medium-term uncertainty in the coverage prices. So thank you for listening and operator I would like to open the call for questions.
Operator: Thank you very much. Ladies and gentlemen, we are now ready to your questions. [Operator Instructions] And our first question comes from the line of Haley Mayers with Barclays. Please go ahead. Your line is open.
Haley Mayers: Thank you for your time tonight. I just had a few questions. First, the market deterioration recently. I wondered if maybe you could give us an update on what are the awards you seen in the next couple of years particularly in 2016 from the 2Q where it was taken down to five awards in 2015 and seven awards in 2016. And then on the back of that, I was hoping that perhaps you could give us an update on covenants headroom’s I know that they were renegotiated earlier in the year, but given deterioration just wondering if anything is changed there. And then just lastly, if you could give a bit more color on the change in net debt guidance I’m wondering what the moving parts to that? Thank you.
Bruno Chabas: Okay. So I - the Peter takes the two questions regarding the covenant headroom’s and the change in right on some debt. Regarding the market update, we are in a process of moving inside any details the market that we set our expectation for next year and year after. The only color I can give you at this stage is what we are seeing is that the number of FEED that we work, we thought there is going to be awarding before the end of the year are being postpone to next year. It doesn’t mean to say that this award of the project would be postpone to the following year, but it just mean that we are seeing a slowdown in the commitment of the company at this stage. So it’s too early for us to give additional guidance regarding the expecting number of award next year and year after, but really what we are seeing is just slowdown in the decision making process at this stage.
Haley Mayers: Okay.
Peter van Rossum: Haley, this is Peter. Comments for the end of the year, we see the second half of the year is progressing very much in line with the expectation that we set outs with the half year results so in that sense we are well on track and covenants are I think most of the issue and just bring to your attention as well that when we renews the revolving credit facility which starts the covenants at the end of last year we just received a drop in EBITDA and when you go - its leverage covenants which we can call in case the normal leverage of the covenant would not be mess. So I think we are pretty well covered towards the end of the year. As far as the net debt is concerned you see a reduction in the prepositional net debt for the third quarter compared to the half year the 3.1 and have the feasibility on what’s going to happen in the fourth quarter is pretty good. There is a slight increase in net debt projected not through the level of 3.5 as we guided earlier but around 3.3 and others related to a various things the ongoing conference program. The timing of the milestone payments, free cash flow and joint venture partners those will includes the $70 million lower penalty or fine payable through the Dutch Public Prosecution which is following the settlements that we agree to them for last year, we paid that $240 million fine in three installments.
Haley Mayers: Great. Thank you very much.
Operator: Thank you very much. And moving on to the line of Dirk Verbiesen, KBC. Please go ahead. Your line is open.
Dirk Verbiesen: Yes, good evening gentlemen. First question, so on the outlook, the implied outlook for Lease and Operate, the 1.2 billion you are guiding for lease around just below 400 million for Q4. Looking at the run rate so far this year, it seems bit high to me and I am aware what the Thunder Hawk has started and contributing, but maybe and I’m missing something or is it 1.2 on the high end of what we should expect for the year. Second question on the remark you made on Petrobras and the invitation to participate in the tender for the [FPSO], you also stated you will update the markets accordingly when you received those documents, can you explain what the update could include is that decision to participate or maybe - are you evaluating that at this stage. And the third question I have is on the cost savings so can you remind me on the timing of that and also when the I think 80 million is let say the 80 million program the savings of that will be implemented? Thanks
Bruno Chabas: Okay, so I propose that Peter takes the question regarding the outlook for the Lease and Operate and goes through some detail. I will take the first part of the answer regarding the Petrobras. And Philippe also is going to give you some idea about the process of the decision making about tendering this project or any development project for this matter. And I would discuss about the cost saving position. So let me start with Petrobras, what we say is that once we receive the tender documents we will update the market accordingly. By this we mean that we’ll going to issue a press release stating simply that we have received the tender. And that’s an important information we believe is something that we communicated at the end of September. We thought it was important to inform you, what we spend on this project and we think it’s important to inform you once we have the tender document that we are receiving. From there like for any of the tender that there is a process about looking deciding or not to tender the project and Philippe can give you more color on this.
Philippe Barril: As far as Libra and Sépia are concerned and for any other tender or we would start or get ready for sales. Typically covering technical requirements and contractual terms. Meaning that critical elements such as design life, production profile, national content would be analyzed in order to validate our ability to deliver value-added proposal, competitive and compliance. To illustrate further we would assess the tender opportunity against the non-residual value, which is a discipline that we will maintain and the residual value was initially held and we would assess as well the tender submission date versus the time required to develop a solid financial proposal.
Dirk Verbiesen: Thanks. That’s clear.
Philippe Barril: And that’s really a process that we apply to all the different tenders, so it’s an internal process that we do.
Peter van Rossum: Dirk, this is Peter. On the Lease and Operate outlook that there are couple of things in the fourth quarter that are lesser beyond to what we’ve seen in the first three quarters clearly the tie-ins to Thunder Hawk, which is the only facility we have but we see a volume related revenue, the volumes are going up and therefore the revenue will increase. There are some special bonuses to be earned in the fourth quarter that we expect to have invoiced by the end of the quarter. There are some say activity related revenues that are included for the quarter. But to answer your question very specifically is the 1.2 is that the high end. I can tell you that’s you know rounding it - it’s actually rounding up to other than rounding down. So in that sense it is at 1.2 is at the high end.
Dirk Verbiesen: Yes. That’s clear, thanks.
Bruno Chabas: And so regarding the cost saving I think it’s probably a broader question that I need to answer there. At this stage, we are reviewing the market and what’s happening we are comfortable about the change we have made to the organization and the reduction of our cost base. We are on track to get to the reduction that we guided you sometime at the end of the first half of this year. Most of the saving will be in position by the end of the year, are going to be seen fully from next year. As we told you at the last conference call I think the saving that we are going to see, are going to be seeing a number of lines not only the G&A line but also the operating cost. So but we’re on track to achieve the saving.
Dirk Verbiesen: Thanks.
Operator: Thank you very much and moving on to the line of Edward Donohue with One Investments. Please go ahead. Your line is open.
Edward Donohue: Good evening, gentlemen a couple from my side. Just going back to and I know there is a limited amount you can actually say with regard to the Petrobras situation, but it’s the statement in the press release says additional effective contracting the projects has resulted the bidding process, conditional upon the conclusion of the settlement agreement on discussion. It’s not the part of the reason the documents haven’t been provided to you because most of your settlement is linked to intertwine or does that phrase only a kick-in issue with a winning party on the tender.
Bruno Chabas: Okay. Erik is going to take this question.
Erik Lagendijk: Thank you for your question. The two are unrelated that is indeed the letter as you suggested that if were successful in a tender than the final contract will lead the subject to an agreement that is what Petrobras has stated in its press release of September 28.
Edward Donohue: Right, okay. And then the second one was just with regard to have you been provided with any technical data tool that allows you to do any work with regard to these two potential projects or can nothing happen to the official documentation provided and how far have other potential consortiumalso been provided with the data therefore, how far are you behind relative to a deadline?
Bruno Chabas: So at this stage as we stated we have not received any of the tender documents for Petrobras so we don’t have the information on the subject. Again once we’re going to receive the tender document as Philippe told you early on, we are going to make an assessment about the technical components of this project. The financial aspect and to see if it could be competitive and make an assessments above if we can submit that’s within the time which is given to us and to give competitive offer, is going to be how possessive are you, we should then take a better time and that we do for all the other projects also. We have not received the document from Petrobras again.
Edward Donohue: Right, okay and then just the last question, maybe [indiscernible] and I apologize, my language flapping. Statements saying SBM is confident in its ability to further adapt and adjust in this ongoing downturn. Above and beyond what does that actually mean above and beyond what you’ve already stated in the cost adjustment process so far. And what would you be looking at as triggers to take us basically a third around of adjustments and what would that in tail with regard to engineering capacity more important the ability to run for the cash breakeven on the Turnkey side of operations?
Bruno Chabas: Yes, it’s a good question and it’s a question that we are really looking more in depth at the stage as we go through our planning process for the coming two, three years ahead of us. What I can tell you at this stage, that for the time being more comfortable with what we have done and that you know what price in terms of organization of cost structure for the company to whether the storming the industry. Now we also need to take, let’s talk about some of the delays in projects and to see if there is any further things to be done or if we are in the right track and we can keep going like this. What we are planning to do is to give you a much more detailed update on this, so we are going to give you the full year results and we are going to provide you some guidance for the full year. But also some vision on the strategy of the company and so that is going to be earlier in this first quarter or next year in February for the debating that’s in February of next year.
Edward Donohue: Okay, great. Thank you very much.
Operator: Thank you very much, and moving to the line of [Vincent Kraft], AMP. Please go ahead. Your line is open.
Unidentified Analyst: Yes, good evening gentlemen. I was wondering something - this was about Petrobras Brazil. Last month Reuters reported on the sources that actually almost pretty close to settlement with Brazilian authorities and they had a figure of about $250 million to be paid in cash and part of that to be paid in cash and our part to be paid in the form of services, as this neared where you expect the settlement to be or is it true that you are now really close to the settlement and can you give some color on that operation? Thank you.
Philippe Barril: Bruno, shall I take this one. Thank you for your effort to make us comment on the progress that made, but you will understand that we cannot comment. We have also in the meantime in between issue of the release where we said that we cannot comment on the discussions, but you can rest of sure that we will issue a release if and when there is news.
Unidentified Analyst: But well you said in March that there was a memorandum of understanding about some sort of agreement to now almost the end of the year, it’s getting above time that’s something is reached between the parties, don’t you agree it shouldn’t be like this?
Bruno Chabas: I appreciate your opinion you can understand that we are working hard in resulting this and we are very committed to resolution and as you have also seen in the release in the meantime also you give Brazilian prosecutors offers is joining in the discussion as well as Petrobras so it’s a complex situation in the country that is not that easy. So again we confirm our commitments and we will inform you if and when there is news.
Unidentified Analyst: All right, thank you. That was my final and my other question.
Operator: Thank you very much and moving on to the line Jessica Alderson with Morgan Stanley. Please go ahead. Your line is open.
Jessica Alderson: Thank you. Hi Bruno and hi Peter. I have a couple of questions this evening. So the first one, I know you can’t say much about the timing or the size of the potential settlement from the phrase, yes back to the phrase we have another question about actually is set this contracting for projects as a result of the bidding prices are conditioned up on the completion of the settlement agreement under discussion. From that I got the impression that there would be a settlement like I said you compounded on timing or size, but can you confound this is the case. And then my second question is how much of the upfront payment for Turritella have you received already, please?
Bruno Chabas: Okay on the question with regard to a final agreement this is the language that comes from Petrobras, what they have said and apparently they also have made reference to the settlements which we appreciate.
Jessica Alderson: Okay, thank you.
Peter van Rossum: Jessica on Turritella, we are doing a training statement, it is not a full updates on all the moving parts, let’s say [indiscernible] all these things work, contact IR, but more full of view or things like cash flows and balance sheets and that sits into that picture is more relevant for the February cash flow I guess.
Jessica Alderson: Okay, sure. Yes, thank you very much.
Operator: Thank you very much. [Operator Instructions] And we have a question from the line of Peter Lalkens from Dutch Financial Daily. Please go ahead. Your line is open.
Peter Lalkens: Yes good evening. Two questions on my part. Are you worried about the much lower order intake until this date 245 million order intake, what did you expect earlier this year for the order intake and what is your expectations for next year. And my second question is do you understand correctly that you’re considering further steps for the cost measures maybe next year, that’s all my two question.
Bruno Chabas: Okay, so when we look at the market at the beginning of the year, we thought there was a number of that is still to be awarded in the year whether we also stated that with this we thought that there was one scenario, a possible scenario that new contract will be awarded during the year with the exception of one contract which was only committed in fact in 2014. So despite there is no awards this year is really not surprise to us to a larger extent, when there is a big margin appointment we deicide that for your we saw that some of the FEED commitment are going to be taken before the end of this year and it looks like that we are going to see some delays on this beginning of next year, second half of next year.
Peter Lalkens: So and FEED is front-end study so it’s engineering work and there is a full project?
Bruno Chabas: Yes, so that’s’ what you I would say one of these appointment that we are having. Regarding next year it’s too early to give some guidance on the subject. But I can give you a bit of my feeling it’s likely that’s we are going to see a number of FEED awarded and it’s possible that FEED and some project will be accelerated and some of what would be done before the end of 2016. But again it’s too early to give any guidance on the subject. Beside the fact that 2016 is going to be again a difficult year in terms of, regarding the structure of the company as I mentioned previously is we have restructured the company in fact 18 months ago, we started restructuring, we are in the process of reviewing our long-term plan at this stage, we are going to see if certain adjustment needs to be done for us to tell you where we are. It’s too early again to give any guidance on this and again we are going to give you full detail on this subject in February.
Peter Lalkens: Okay thank you.
Operator: Thank you very much. And our next question comes from the line of Wim Gille, ABN AMRO. Please go ahead. Your line is open.
Wim Gille: Hello, can you hear me?
Peter van Rossum: Yes, we can.
Wim Gille: Very good. Just start off with your net debt guidance of below US$3 billion, are you just being conservative here or you expecting a cash out in the fourth quarter and what could be the big moving parts in the fourth quarter apart from the US$100 million that you have to pay to the regulators. Second question will be on the Lease and Operate guidance for the fourth quarter or the implied guidance for the fourth quarter, I know that Dirk already asked the question but I couldn’t hear the answer so is the tie-in to the Thunder Hawk the only moving part here or are there also other elements that are going to boost to do the topline of the Lease and Operate in the fourth quarter. And then the final question would be on Petrobras obviously the guys are talking about lowering day rates across all segments and all suppliers and recently they also started to mentioned their FPSO contracts is potential areas where they wanted to lower the day rates, so can you give us a bit of feeling or comment on what your views are on these kind of statements.
Bruno Chabas: Okay. So I propose that Peter takes the first two questions and I would take the last one.
Peter van Rossum: Okay, so on that debt just explains we expect to get towards the end of the year at US$3.3 billion around US$3.3 billion, we are at US$3.1 million at the end of the third quarter that means US$200 million net cash out that includes indeed the payments to the Dutch Public Prosecutor, which is US$70 million to be exact because it includes the let say the ongoing capital investment and it’s also influenced by the timing of milestone payments by the joint venture partners on the ongoing projects. And those are the main moving parts other than working capital moments et cetera. Lease and Operate, yes the tiebacks to Thunder Hawk which is indeed facility our only facility that is paid for on a per barrel basis, those tiebacks are very important and a very important part of the increase in the fourth quarter. Is not the only reason and so the other ones that I mentioned are related to let’s say the bonus payments we expect to get on number of the contracts as well as works to take place the compensation for works to take place on one of our vessels. But you know as I said also to Dirk it’s rounding upwards rather than downwards, so when you see the final numbers and it start with 11, don’t be surprised. Overall we are very comfortable with the guidance of the US$2.6 billion between the two segments.
Bruno Chabas: Okay. Now regarding the pressure on the market for existing operation and I would take this more broadly for one client. So our clients at this stage are looking at ways to reduce their cost and actually we are engaged with lot of them about ways to reduce the cost and to operate better. Out of these [indiscernible] opportunity for SBM Offshore to extend our operating coverage or to match with - sense of acquisition, but to match operation with some of our plans in order to reduce the operating cost, but yes not impacting the derivative losses. We need to realize also that the asset that we had to - providing a meaningful cash flow to all our clients, the average day rates or the average cost value is lower than US$7 per barrel for all of the units and bigger units looks like much lower. So the pressure we could get from our clients that is going to be rather limited, we are going to listen to them, we are going to work with them and find some solution, but at the end of the day, we also need to realize that we are providing steady cash flow to them on the regular basis and that will provide new value to them. So that’s what we finally approached.
Wim Gille: Thank you very much.
Operator: Thank you. And moving on to the line of Andre Mulder, Kepler. Please go ahead. Your line is open.
Andre Mulder: Yes, good evening. Once again on the Petrobras floater tenders, there was talk in the industry that Petrobras itself is delaying these floater bids. Are you aware that line has shifted, which should give you a bit more room?
Philippe Barril: Since we don’t have access to the tender document we cannot answer this question.
Andre Mulder: All right, thanks.
Operator: Moving on to the new question of Quirijn Mulder, ING. Please go ahead. Your line is open.
Quirijn Mulder: Yes, good afternoon. About Marlim Sul, you meant to something that you are waiting for decommission now, but it also suggested that Petrobras is somewhat hesitating what to do with the floater. So maybe you can update us on that somewhat more than what was in the text. And then about the progress in which the MLP, as the homework being done and are you now waiting for the final verdict from the Brazilian authorities to go ahead or is that - is not the right conclusion here?
Bruno Chabas: So let me take the first part of the question, Marlim Sul field in the charter for the third quarter of the year in contract with Petrobras to decide to wait for one decision, final decision has been made, it’s still under discussion.
Peter van Rossum: Okay. Quirijn on the MLP, we continue to work on the MLP, the U.S. Security laws talking about actual timing of Petrobras to the IPO before we have agreed to the timetable with those authority, so work is ongoing and you are right. It would not be sensible to issue MLP if the settlements with the Brazilian authorities is not taking place?
Quirijn Mulder: Okay, thank you.
Operator: Thank you very much. And moving on to the line of Dirk Verbiesen, KBC. Please go ahead. Your line is open.
Dirk Verbiesen: Yes, gentlemen. One follow-up, forgive me if it’s been addressed previously, but on the order intake the H1 results you stated around US$300 million order intake and now it’s US$245. Is there something that has been postponed or delayed or it’s also regarding in a way, can you explain that to me, please?
Nicolas Robert: Hey, Dirk, it’s Nick here. On the order intake side, the US$245 million is the number for the quarter and don’t forget that we have the net of the divestment of Turritella as well.
Bruno Chabas: And so I think probably the best way would be for - to get a reconciliation for you to get through the detail with Nick offline.
Dirk Verbiesen: Yes. Thanks for that.
Operator: Thank you very much. And our next question comes from the line of Wim Gille with ABN AMRO. Please go ahead. Your line is open.
Wim Gille: Peter, could you give us an updated on where you stand over the covenants, remember that your net debt adjusted EBITDA of about 3.3 times during the first half I can only imagine that do you improved on this metric, but can you give us bit of feeling where we are? So on the covenants and Jessica just asked the same question. Covenants are calculated to us a year and we produced some of them as part of our half year or full year disclosures and you are right since the mid-year those things have by large improved and those are set to be the EBITDA number which was the reduction in overall order intake and Turnkey activity which we had been let say which we saw coming when we renewed the RCF at the end of last year would put in place an alternative covenants, the operating leverage covenants which would helped us to be not worried about the covenants situation at year end.
Wim Gille: Very good. And second question in the upstream this morning that Petrobras actually this with the Peak 37 on the Marlim Sul field. Just a bit hypothetical could it be something to for you guys to take it over if they problems persist on that units?
Bruno Chabas: We cannot comment on the matter I mean we don’t have any detail and we don’t know what’s happening. So we would not comment on the matter for sure.
Wim Gille: All right, thanks.
Operator: Thank you very much. No further questions in queue for the moment. And with that, I would like return the conference call back to the speakers.
Bruno Chabas: Okay. So thank you all for attending this conference call. We look forward as we answered most of your questions and thank you for your attendance. Have a good evening. Bye-bye
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you very much for attending. You may now disconnect your lines.